Operator: Good morning, ladies and gentlemen, and welcome to Gartner's Earnings Conference Call for the Third Quarter 2013. A replay of this call will be available through December 8, 2013. The replay can be accessed by dialing (888) 286-8010 for domestic calls and (617) 801-6888 for international calls, and by entering the passcode 21291407 followed by the # key. This call is being simultaneously webcast and will be archived on Gartner's website at www.gartner.com for approximately 90 days. I will now turn the call over to Brian Shipman, Gartner's Group Vice President and -- of Investor Relations, for opening remarks and introductions. Please go ahead, sir.
Brian Shipman: Thank you, and good morning, everyone. Welcome to Gartner's Third Quarter 2013 Earnings Call. With me today is our Chief Executive Officer, Gene Hall; and our Chief Financial Officer, Chris Lafond. This call will include a discussion of Q3 2013 financial results as disclosed in today's press release. After our prepared remarks, you will have an opportunity to ask questions. I'd like to remind everyone that the press release is available on our website, and that URL is gartner.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company's 2012 annual report on Form 10-K and quarterly reports on Form 10-Q, as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of its forward-looking statements. With that, I'd like to hand the call over to Gartner's Chief Executive Officer, Gene Hall. Gene?
Eugene A. Hall: Good morning, everyone. Welcome to our earnings call for the third quarter of 2013, with another quarter of double-digit growth in contract value and our key financial metrics. Our business is performing well, and our results demonstrate continued effective execution of our proven strategy. Research, our largest and most profitable segment, continues to deliver double-digit growth. We have robust demand for our services across all regions, industries and client sizes. We had 12% contract value growth during Q3, with few challenges in very specific areas, which moderately impacted our overall contract value growth rate. Chris will show more details in a moment. We understand where these issues are and we're making changes to address them, which we will expect will accelerate our contract value growth rate. Even with these challenges, we again achieved double-digit growth in every region, in every client size and in virtually every industry, including the public sector. Our Events segment had another terrific quarter and continues to achieve strong double-digit growth in revenues, attendees and exhibitors at our events around the world. And our Consulting segment remains on track to deliver within the guidance we gave you last quarter. I just returned from 2 of our Symposium ITxpo events, one in Orlando, Florida; and the other in Australia. Symposium ITxpo is our flagship conference series, and we host 8 of these conferences each year in different locations around the globe. Across all of these events, we're seeing record-level attendance and revenues. Symposium ITxpo is the world's most important gathering of CIOs and senior IT executives. There's nothing else like it on the planet. In Orlando, which is the largest of this series, we hosted nearly 2,700 CIOs, and that's up more than 17% over last year. While in Orlando, I met with a number of CIOs and enterprise leaders from our diverse array of industries: manufacturing, retail and banking and financial services, even technology clients. These leaders are incredibly excited about the impact of IT on their enterprises and the critical role Gartner plays in achieving their enterprises' objectives. I also had the opportunity to speak with a large number of our salespeople at these events, and they're incredibly enthusiastic about the Gartner brand and market opportunity, as much so as I have ever seen them. Gartner is the best source of help for enterprise leaders watching critical initiatives within the technology revolution. We know how to be successful in any economic environment, and we're relevant whether an institution is growing or facing economic challenges. We continue to deliver double-digit results to our key operating metrics through the tremendous value we deliver to our clients. I remain confident in and excited about Gartner. The Gartner brand is in a class by itself. Our products, services and people are superior to the competition. We have a great business model and we're relevant to virtually every company and government agency in the world. And with that, I'd like to hand the call to Chris.
Christopher J. Lafond: Thanks, Gene. And good morning, everyone. During the third quarter, we continued to successfully execute on our strategy to deliver consistent double-digit growth in contract value, revenue, earnings and cash flow over the long term. This growth was led by capturing more of the significant market opportunity that remains for our Research business. We continued to see strong trends in our key business metrics, and demand for our services remained solid across our 3 business segments. Even if companies face the uncertainties of the current economic environment, our business continues to grow at double-digit rates quarter after quarter, and this is because our products and services provide great value to the IT and supply chain professionals we work with. We're engaged in our most important initiatives and projects. And this is why we continue to deliver consistent revenue growth and strong financial performance over the long term. Let me now review each of our 3 business segments for the third quarter, starting with Research. Research revenue was up 11% to $317 million on an as-reported basis in the third quarter. Excluding the impact of foreign exchange, Research revenues grew 12% compared to the prior year. The contribution margin in this segment increased 147 basis points to 69.6% in the third quarter, as we once again capitalized on the operating leverage of this business. All of our key Research business metrics remained strong in the third quarter. Contract value grew to a record level of $1,327,000,000, a growth rate of 13% year-over-year on a reported basis and 12% on an FX neutral basis. As it's been the case for the past several years, our growth in contract value in Q3 was extremely broad based, with every region and client size growing at double-digit rates and almost every industry segment, including the public sector globally, also grew at double-digit rates. New business, again, increased year-over-year, and the new business mix was balanced between sales to new clients and sales of additional services and upgrades to existing clients. While our contract value growth continues to benefit from our discipline in annual price increases and no discounting, approximately 80% of our contract value growth came from volume, with the balance from price increases. We've consistently increased our prices by 3% to 6% per year on an annual basis since 2005. We recently implemented a price increase during the fourth quarter of 2013 and we expect to do so again next year. Our volume growth reflects our success in continuing to grow the business by penetrating our vast market opportunity with both new and existing clients. As a result, we ended the quarter with 13,422 client organizations, up 6% over last year's third quarter. Our client retention rate ended the quarter at 82%, and we've maintained client retentions between 82% and 83% for 13 straight quarters. In addition to retaining our research clients at an impressive rate, the clients we retain continue to increase their spending with Gartner, and wallet retention ended at 97% in the third quarter. Wallet retention is higher than client retention, due to a combination of increased spending by retained clients and the fact that we retained a higher percentage of our larger clients. As we've discussed in the past, our retention metrics are reported on a 4-quarter rolling basis in order to eliminate any seasonality. It's important to note that both client and wallet retention rates remained at the same levels we reported in Q2. On a stand-alone quarter basis, wallet retention improved by approximately 2 points in Q3, as compared to Q2. As we mentioned last quarter, we expected our retention rates to remain at these high levels despite a few challenging pockets in Europe and in the public sector. Let me spend a moment providing some additional color on these few challenging areas. It should not surprise you that a few governments around the world, including the U.S. Federal Government, modestly affected our overall growth. Nor should it surprise you that Europe remains a difficult selling environment and is growing slower on average in the rest of our businesses around the world. For example, our business in France, low to single-digit growth due primarily to some internal operational challenges that we're addressing. Despite these few challenging areas, our Research business remained strong, with double-digit contract value growth in every major geography, client size and almost every industry during Q3. In fact, excluding the U.S. Federal Government business, the rest of the Americas grew contract value by 15% year-over-year, which is an acceleration from Q2. On a global basis, excluding a couple governments in our business in France, global contract value grew by 14%. As we discussed during our last call, contract value growth in 2013 has been impacted by these few challenging areas. With our continued strong performance in almost every part of the Research business, we're confident that we will see acceleration on our overall growth rate in contract value as these pockets recover. And then on a final note with Research, I'd like to touch on sales productivity, which remains one of our focus areas. As with contract value in the third quarter, sales productivity has been pressured by the specific challenges I just mentioned. Most of our sales teams in regions continue to perform very well, with productivity flat to increasing. As we've talked about in the past, we also continue to make operational improvements to improve our overall sales productivity regardless of the economic environments where we operate. We fully expect to see increasing sales productivity over time. In summary, we delivered another strong quarter in our Research segment. We grew contract value by $145 million on an FX neutral basis year-over-year. We continue to see strong demand from clients and we continue to expect acceleration in contract value and revenue growth. We remain confident in our ability to deliver double-digit annual revenue growth in this business over the long term. Turning now to Events. Our Events segment continued the trend of extremely strong year-over-year revenue growth that we've delivered for the past 3 years. In the third quarter, Events revenue increased 29% year-over-year on a reported basis and 31% on an FX neutral basis. During the third quarter, we held 16 events with 6,353 attendees compared to 14 events with 5,566 attendees in the third quarter of 2012. On a same-events basis, Events revenue was up 10% year-over-year. Gross contribution margin of 30% for Q3 increased roughly 6 percentage points from the third quarter a year ago. Looking ahead, we see strong demand for both attendee and exhibitor participation during our largest events quarter of the year. For the past few weeks, we've held 6 of our symposium events around the world, and next week, we'll hold our final of the year in Barcelona. Some of you attended our symposium ITxpo in Orlando last month and saw firsthand the strength of this series of events. Our Events business remains solidly on track to deliver another strong the year. Moving on to Consulting. Revenues in Consulting declined 2% on a reported basis in the third quarter and declined 1% on an FX neutral basis. Our strategy continues to be to focus our Consulting services on a select group of our largest clients who request our differentiated benchmarking, Contract Optimization and other strategic services. While our Consulting business has also been impacted by the global public sector challenges this year, on a year-to-date basis, revenues are up 3% FX neutral in this segment. And we remain on track to deliver in the range of our full year revenue guidance. Billable headcount of 516 was up 3% from the third quarter of 2012. Third quarter utilization was 58%, and revenue per billable headcount ended the quarter at $374,000. Most important, for the remainder of the year, we're seeing steady demand for our Consulting services. Backlog, the key leading indicator of future revenue growth for our Consulting business, ended the quarter at $96.5 million. This represents 3% growth over the prior quarter and a healthy 4 months of backlog, which is our target for this business. Additionally, our pipeline is solid as we enter the final quarter of the year. With the current backlog and visibility we have into the pipeline, the Consulting business is positioned to deliver results in line with our long-term objectives. Now moving down the income statement. SG&A increased by $16 million year-over-year during the third quarter, primarily driven by growth in our sales force. As of September 30, we had 1,605 quota-bearing sales associates, an increase of 208 sales associates from a year ago. We continue to tightly control G&A costs across the entire company. We believe this expense item will provide us with a source of operating leverage in the future, as G&A will continue to decline as a percentage of revenue. Moving on to earnings. We delivered another quarter of solid earnings growth, with normalized EBITDA at $75 million in the third quarter, up 10% year-over-year. And GAAP diluted earnings per share was $0.40, up 21% year-over-year. As expected, our Q3 2013 GAAP diluted earnings per share included $0.01 per share in amortization and other costs associated with our acquisitions, including Ideas International. Turning to cash. Year-to-date operating cash flow increased by 16% to $242 million over the same period in 2012. We continue to expect the same level of free cash flow for the year that we indicated in our previously issued guidance. Over the long term, we continue to expect to generate free cash flow substantially greater than our net income given our tight cash management and the negative working capital characteristics of our Research business. During the third quarter, we utilized our cash to return capital to shareholders through our share repurchase program. We repurchased over 1 million shares at a total cost of approximately $59 million. We ended the quarter with a strong balance sheet and cash position, with net cash of $170 million. Our credit facility runs through March 2018 and, at this time, provides us with about $550 million of remaining borrowing capacity. We have ample cash flow and liquidity to continue to grow our business and execute initiatives that drive increased shareholder value. We continue to look for attractive acquisition opportunities as a potential use of cash. We believe that repurchasing our shares remains a compelling use of our capital, and we have $84 million remaining under our board authorization. Now let me turn to our business outlook for the remainder of 2013. With our Q3 results in line with our overall expectations, there are no changes to the guidance we discussed on our Second Quarter Conference Call. And as always, the details of that guidance are contained in today's press release. So to summarize. We delivered another strong quarter of great results. Demand for our services is solid, and as a result, we generated double-digit revenue growth and our key business metrics remained strong in the third quarter. Our initiatives to improve operational effectiveness, coupled with the positive operating leverage inherent in our business, delivered solid earnings growth, and we generated substantial cash flow. As always, we are actively exploring strategic alternatives for deploying our cash. We will continue to invest in our business and return capital to shareholders through our share repurchase program. We expect to repurchase shares throughout the remainder of 2013 and beyond. Finally, with double-digit growth in contract value in the third quarter, we've built a solid foundation for delivering strong revenue and earnings growth for the remainder of 2013. We're well positioned for double-digit revenue and earnings growth and increasing returns to our shareholders over the long term. With that, I'll turn the call back over to the operator, and we'll take your questions. Operator?
Operator: [Operator Instructions] We have our first question from the line of Joseph Foresi of Janney Capital Markets.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Yes, I wonder if you could talk about how you're feeling about sales productivity at this point, and your out forecast or how many sales people you plan on hiring before the end of the year.
Christopher J. Lafond: Joe, it's Chris. Thanks for the question. So the first up, I'll answer the second one first. We have been guiding, as always, in the 15% to 20% range. This year, we'd said we'd be around 15%. We're trending to that, and that's where we would expect to end the year. So about 15% growth in our sales force. With regard to sales productivity, as I mentioned, we're actually seeing some really good results in the vast majority of our sales force. In fact, we're seeing some incremental improvements in certain pockets. We've seen a number of things stay relatively flat. And as I mentioned, there's a few places that we're seeing pressure that are causing us some challenges from a sales productivity perspective, so as I mentioned, some of the governments around the world, France. But if you strip those out, we feel like sales productivity is pretty stable. We certainly would like to see it higher. As we've talked about many times, we're continuing to do many things to move that in the right direction, but we certainly believe that -- with what we're seeing today across most of the field and as we see these few pockets recover, that we'll see improving sales productivity from here.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And then maybe you could talk a little bit -- we've heard some or picked up some data points that Europe is getting incrementally better on the margin. Maybe if you could just talk about what you're seeing there as far as demand is concerned.
Eugene A. Hall: So Joe, it's Gene. So overall in Europe, the -- we're seeing good demand for our services. As Chris mentioned, there's 2 particular areas that have been a little bit challenging for us, which is France, which with these operational issue; and then one of the federal governments has -- is going through similar things with what's going in the U.S. government. And so it's difficult to do business with them. Other than that, we're actually seeing quite good new business growth and very good retention in Europe.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And then the last question for me. Just on the governments -- the government side of the business, maybe you could frame your exposure, where you're seeing the pockets of weakness. And what's built into present guidance?
Eugene A. Hall: The -- let me just, spend a second to describe what's going on in the -- so every government is not a problem. As we have mentioned, we are -- we have double-digit growth in the public sector overall. There are couple of specific problems. And what's going on in there is the U.S. government is a great example where they've changing their procurement practices, in addition to having sequestration, which has just made things even more complicated. There is a period of time where you can't even meet with people. That makes it very tough to sell new business, much less renew their -- our existing business. That's kind of what's going on. As we look forward, I think I'll let Chris talk about that.
Christopher J. Lafond: Yes. So Joe, I would say just a couple of things. Overall, public sector, when we talk about public sector, what we've talked about from a sizing point of view, and public sector includes all of the governments around the world, state and local governments, all public enterprises, universities, health care systems, et cetera, it's in the 15% to 20% range. So that's kind of the sizing. As we talked about earlier, public sector in total is actually up double digit, so we're doing quite well across the overall public sector. And it really is just a handful of areas that are giving us some real challenges. And as we said earlier, you shouldn't be surprised that the U.S. Federal Government, as Gene talked about, is one of those areas. So our expectation for the remainder of the year is we continue to see the performance that we've had in those areas. We didn't expect that the U.S. government would suddenly improve anytime soon. And so that's kind of what we're thinking as we look forward in our guidance.
Operator: Next question comes from the line of Tim McHugh of William Blair.
Timothy McHugh - William Blair & Company L.L.C., Research Division: First, I guess you mentioned France, so I guess the follow-up question is, how big is it roughly, even relative to your exposure in Europe?
Christopher J. Lafond: It's not significant. I mean, when you look at it, yes, it's one of the larger countries, obviously, in Europe and so it's obviously one of the bigger areas for us. But in total magnitude, it's not really significant in terms of overall percentage. But having said that, relatively small movements in some of these larger countries can make an impact and can impact overall that rate of contract value growth, right? So when you take a few things like the governments we've talked about, France, those few things have really moved the needle and taken us from 14% growth. If you strip those out, as I said, we're at 14% growth. But you're talking certainly under $50 million and much less than that in terms of where France is.
Brian Shipman: Contract value.
Christopher J. Lafond: Contract value.
Eugene A. Hall: Just as Chris said in his remarks, France basically had good double-digit growth, and it's slowed to single-digit growth. So it's not even going negative or anything like that, but it's slowed enough and it's big enough to where it had a -- that, combined with the 2 governments we mentioned, is what results in the net deceleration.
Timothy McHugh - William Blair & Company L.L.C., Research Division: No. From the comment, it sounded like the government situations, quite honestly, are somewhat outside your control, whereas you felt like France was more of operational, I believe you said. Is that...
Eugene A. Hall: It think that's the very characterization. So France has really operational issues that -- we're very, very good operationally. Occasionally, we have operational problems. France is one of those, and that will get fixed, we think, pretty quickly. The 2 federal governments we mentioned are kind of -- again, it's in the press every day in terms of what's going on with the federal governments. And so the -- so you're right, those are 2 different issues between France and then the 2 federal governments we've mentioned.
Timothy McHugh - William Blair & Company L.L.C., Research Division: So can you help me understand what operational issues would -- I mean, is it leadership, sales, turnover, I mean, what type of issues?
Eugene A. Hall: Well, the -- we have a selling process and we have a renewal process. And when we follow that process well, it works great. And when we don't follow that process quite as well, it doesn't work so well. And so we just stood-out issues where we didn't follow the processes that we know work well. It's got a -- it's as simple as that. And we're obviously very focused on it, and we believe France will be quickly back on a good track.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then my last question, just the uptick you described in the U.S. growth, excluding the government, is there anything underlying that if you looked by kind of company size or vertical that -- or even how you've added sales people that's driving it?
Eugene A. Hall: Well, it's we have strong growth across all of the sectors. So it's not any one particular sector. Or we're kind of adding salespeople across all those sectors. So you -- to put it in perspective, we don't have one sector grow 50% the number of salespeople, another grow 0, because you can't handle it operationally. And so when you sort of think about it with our sales force growth being, as Chris said, in the range of 15%, it's kind of evenly spread. There might be some at 20% and some at 10%, but it's kind of evenly spread. And then if you look at demand, it's going to be evenly spread as well.
Operator: Next question comes from the line of Jeff Meuler of Baird.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: The 14% growth that you guys cited x France, x the 2 -- was that x the 2 governments? Or is that x all public sector? What was that x?
Christopher J. Lafond: No, it's not. It's not excluding all public sector, it's just excluding a couple of governments around the world that we're particularly challenged, and France. So we really just had a few pockets, as we talked about. So if you just take those out, you're at 14%.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: And what would that growth rate on a same-type basis have been in the last 2 quarters? Just wondering, is that's holding steady around 14%, and the overall deceleration is being driven by those pockets of weakness? Or are you starting to see acceleration, excluding those pockets of weakness?
Christopher J. Lafond: What I would say is it's pretty stable. As we said last quarter, we really just had a few pockets that were causing us to dip a bit, and that's still exactly the case. So everything else in the world is stable, and a few places slightly improving. As I talked about in my comments, the Americas actually accelerated a bit from Q3 to Q2. And we actually said the same thing last quarter. So the Americas is actually on a path of slight acceleration overall, excluding the U.S. government sector.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then can you remind us what percentage of new business sold in the Research business is sold in Q4?
Christopher J. Lafond: If you look at overall contract value, it's pretty balanced. So our overall contract value mix is not dramatically different quarter-by-quarter. It varies from, about 28-maybe percent of the renewals come up in Q4. So there's a little bit of variation, but it's all around the quarter. Q4 tends to be our larger new business quarter per share with our sales force into their accelerators, and their comp plan drives that.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then I think you obviously took out about 1%, I think, of the stock in this quarter via repurchases. You've said that remains a compelling use of capital but also said exploring, actively exploring, strategic alternatives. Would you guys consider a leveraged recap? Or what would it take for you to be even more aggressive on the share repurchases given the shape that your balance sheet's in and what type of free cash flow you throw off?
Christopher J. Lafond: I think what we have said over time is we do believe that we have the ability to take on significantly more debt. As always, we are looking at a number of things. We've told you many times that acquisitions remain something that's really important to us and they can drive significant shareholder value. The acquisitions we've done have been great uses of cash. And we've been able to take that content that we acquire, put it into our sales channel and drive pretty significant performance improvement over what big companies were doing on their own. And so we see great leverage out of doing that. And that's why we continue to look for those opportunities. So we would have no problem, with the right acquisition, to take on significantly more debt. And we will continue to be aggressive in our share repurchase program as well.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Would you consider taking on debt up to 1 or 2 turns of EBITDA, say, to do a share repurchase? Or would you only consider levering up for an acquisition?
Christopher J. Lafond: No, we have no problem taking on debt for any transaction that we think drives shareholder value. So we would certainly take on debt well above 3x debt-to-EBITDA because we can bring it down relatively quickly.
Operator: Next question is from the line of Peter Appert of Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So I will preface my question by saying the revenue growth numbers are obviously pretty impressive in the context of the macro environment, but we always want more, obviously, as evidenced by the questioning. And so my question is, the U.S. government impact, can you sense or can you determine whether the purchases are deferred? Or is the U.S. government actually downsizing in terms of its purchase levels, and therefore, we should anticipate permanently reduced revenue from that channel?
Eugene A. Hall: So Peter, it's Gene. So the -- our -- what we sell to the federal government is an itty-bitty miniscule part of what they buy even in our field. There is huge opportunity there. The issue -- what's going on there is they had -- there's 2 things that have gone on in the last couple of quarters, which is they've changed the process by which they buy things and made it -- which is we have to adapt to that new process. So that's one thing that's happening. And so we know what those changes are. And we believe, over time, it's going to continue to be a great market for us because we understand what those changes are, they still have great need for our services, the value of our services. But the -- when they've -- as they change these processes, we have to change with them and adapt, it takes a little bit of time. And the second thing obviously is that sequestration just kind of stopped everything dead in the water for a while even beyond the period where the government has actually shut down. Obviously, it takes a while to kind of get started back up again and figure out what was where. So in -- the combination of changing buying processes and sequestration made it a tough environment. Having said that, there's the -- there's no lack of opportunity for us to grow in the federal government. It's a huge market. We have barely penetrated our opportunity there. They need and value our services. In fact, we have -- what's interesting about it, Peter, is if you'd look at the people, actually, in IT in the federal government, there is strong robust demand. The issue is getting it through the procurement processes that have changed, where the -- our IT people that ultimately use these services are kind of figuring out how to do that. We're figuring how to do it. And frankly, even the procurement people within the government are trying to sort out exactly how these changed process are going to work. And so there is totally robust demand. We're working with the clients that are dying to use our services, the IT people that are dying to use our services, to work our way through the new processes and are confident that, over the long term, it's going to -- it's been a great market for us and we continue to believe it's going to continue to be a great market for us.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Chris, the guidance gives you a pretty wide range here in the fourth quarter in terms of the possibilities. Can you talk a little bit about sort of what the over-unders are in terms of what gets you to the higher or lower end of the range here going into the end of the year?
Christopher J. Lafond: Yes, I would just make a couple of comments on guidance. I think, if you look at each of the 3 segments, I think, for a $1.3-plus-billion Research business, we have pretty tight guidance on that revenue range. So it -- really, that one is, as you can imagine, pretty easy to predict barring foreign exchange and a few other things. So that one is going to be a pretty tight range, which is why it is what it is. Consulting, as we talk about all the time, there's variability in our Contract Optimization business, so depending on when our large clients do these large transactions. So we think -- especially in Q4, we think that, that business can bounce around as clients are doing their year-end purchases. So that leaves us a little bit of variability. On the Events side, we're certainly having an incredibly strong year. We're finishing up. And this happens to be our largest events period, so even though we're going into Q4, it happens to be our largest period, so it's the period where we have potentially more variability. As you know, in the Events business, people sign up for events closer to the date of the event, so there's a kind of a hockey stick curve there. So that's why we have the range that we have on the revenue side. And those are really the big variability. We don't see anything, other than those things, that cause us any reason to be concerned.
Peter P. Appert - Piper Jaffray Companies, Research Division: Great. And then Chris, just a number of questions. I may have missed this, but did you give the year-to-year change in attendance for ITxpo or your [indiscernible] for symposium? And then also, what was the magnitude of the price increase in the fourth quarter?
Christopher J. Lafond: We -- as you know, from -- I'll answer the price increase first then go back to our Events. We do 3% to 6%, has been the range. We're at the lower end of that again. We've been at the lower end of that now for the last few quarters given the current economic environment around the world. It's our objective to increase prices but do things in a thoughtful way, and that's kind of why we landed where we landed. And we will continue to do that. We expect to do that again in 2014 and beyond. So that's our continued strategy. With regard to Events, our events attendees have been up really nicely and exhibitors up really nicely through the third quarter. We didn't talk specifically about all the attendees at all of our symposium, but we've had -- and because we're going through those now. We've finished a bunch of them and have one more coming up in Barcelona next week. Attendance has been great. Exhibitors has been great. We've seen great attendance there, still well on track to what we expected. Obviously, you should not expect our fourth quarter numbers to be up quite as much as the full year because they're the bigger events, right? So our symposium events are bigger. And you're not going to see 20-plus-percent growth there. So you should not be concerned when you see that level of growth be a little less than you saw for the rest of the year. And they're more mature events. What has been great is we've seen a great CIO participation. We've seen significant increases in CIO participation at all the events. So we feel really good about our attendees and what we're seeing there.
Peter P. Appert - Piper Jaffray Companies, Research Division: You're up -- I'm recalling, you're against a pretty tough comp because I'm remembering last year's attendance was very strong as well. So do you expect to be up in total attendance this year?
Christopher J. Lafond: Well, I think, yes. We absolutely do across-the-board across the symposiums. I think, from a CIO perspective, we're approaching 15% to 20% growth in the CIO attendees at all of our events. So that part's doing great. And the overall attendees are up in those conferences as well.
Operator: And next question comes from the line of Jerry Herman of Stifel.
Jerry R. Herman - Stifel, Nicolaus & Co., Inc., Research Division: Not to beat up the government situation too much, you're probably sick of talking about it, but just wondering if the contract value will decelerate before it, in fact, accelerates given some of those headwinds. Is it enough to tip it in a sequential softening?
Christopher J. Lafond: Jerry, it's Chris. It's hard to predict exactly what's going to happen, to be honest. However, one thing I can tell you is that September is the big buying, year end, for the government. It's a big buying period, so we've gone through a lot of renewals. So we'd like to think that we're not going to see continued deceleration there as a result of that. As I said, we're seeing really good performance across the rest of the business. We're seeing acceleration in some other areas. We're certainly hoping not to see further deceleration as a result of that, but the government's right now fairly unpredictable. But that's kind of how we look at it right now.
Jerry R. Herman - Stifel, Nicolaus & Co., Inc., Research Division: And in Consulting, is the optimization business government oriented?
Christopher J. Lafond: No, not. Actually, not at all, really. It's pretty much all commercial business.
Eugene A. Hall: Many governments don't -- it's a success-fee-based business, so we get paid a portion of how much we save. Many governments are forbidden to use that type of arrangement. And so it has very little government business.
Jerry R. Herman - Stifel, Nicolaus & Co., Inc., Research Division: Makes sense. And then just on the sort of competitive landscape. Obviously, there's secular trends in the technology research area, but talk about your feelings about your market share and any other sort of competitive landscape changes that you've seen.
Eugene A. Hall: Yes, I mean, the -- there are -- we have many kinds of competition. I don't think there's been any change in that competition. We're highly differentiated from everybody else who's out in the marketplace. We have a very strong brand. And frankly, the -- because we're so differentiated, there's been no change in competition, that's not an issue for us at all. So no different than it's been last year or the year before, or the year before that.
Jerry R. Herman - Stifel, Nicolaus & Co., Inc., Research Division: And just one last question then I'll turn it over. Chris, you mentioned price increases. And you said, the last few quarters, you've been at 3% to 6%. I'm trying to be sure I understand the timing of your price increases. Are they in fact -- are they annual? Or do you do multiple price increases during the course of the year? Or is it just because that the contracts are essentially annual that you have such activity every quarter?
Christopher J. Lafond: If I said quarterly, I meant each of the last few years. But so yes, we do annual increases. We don't do them quarterly. Obviously, every client comes up for renewal during different periods of time, so we see the impact of that throughout the year. But we actually make the change once a year, in the fourth quarter.
Operator: Our next question comes from the line of Mr. Manav Patnaik of Barclays.
Manav Patnaik - Barclays Capital, Research Division: Can you just give us what the sales headcount number was this quarter? And also, sort of big picture, just trying to understand internally, you talk about a lot of productivity initiatives that you guys had ongoing. How should we think about the timing that you have targeted for in trying to see those results, and when we should expect that to help contract value growth reaccelerate?
Christopher J. Lafond: Manav, it's Chris. So the sales headcount ended -- our quota-bearing sales headcount ended at 1,605. That's up about 15% year-over-year, and that's kind of the expectation we have for the year in total, in growing it 15% year-over-year. With regard to sales productivity, one of the things that I think we've tried to talk about, and Gene can add some comments as well, is that we are constantly making change. So it's not like we have one thing that we think is going to happen in Q2. We're doing a lot of things all the time. So it's a constant set of systems that we expect all the time to be putting things into place to improving things we're operating on, to execute things that will have a continuous improvement in our sales productivity.
Manav Patnaik - Barclays Capital, Research Division: Okay. And then just maybe one last one, around net fund. In the context of the large market that you guys have sized before, what is -- like, how long should we expect the 15% to 20% net sales growth keep occurring? Like, is there a target sales force size that you guys have in mind?
Eugene A. Hall: So we do look at this. It's a great question. And the way we -- our estimate on it is, if we did not introduce any new products, which we will, but if we did not introduce new products, we could go 20% a year for the next 20 years with the market opportunity we've already identified. So and then aside from that, we'll introduce new products. Like, for example, but where we introduced a product to the marketing space, that doesn't include that product in the marketing space, as an example, that we introduced earlier this year. And...
Manav Patnaik - Barclays Capital, Research Division: But that growth is depending on -- dependent on the feet on the street. Is that correct?
Eugene A. Hall: Yes. The thing that constrains us from that growth is how many salespeople we have. The demand's out there. And again, that's if we had no new products. And if we could -- we don't lack for growth opportunity. It's a matter of how many salespeople you have.
Operator: Next question comes from the line of Andre Benjamin of Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: Couple of questions. The first is, any color that you could provide in terms of the spending levels for new clients that you're signing up versus existing clients? It would be very helpful. Is the rate of spending, on an apples-to-apples with the existing clients, going up or down? And I guess, with the upselling? Are you seeing more success selling them new products or signing up new roles at the same client?
Christopher J. Lafond: Andre, it's Chris. So a couple of things. Just overall, average Research spend right now is about $97,000, almost $100,000, per client. So the average Research client. And that's all clients: new, existing, across the whole portfolio. What the -- and that has been going up. That's up about 4% since the end of the year, and up almost 7%. And as you would expect with price increase and other upsell, that's the expectation. That's very consistent in terms of what we've done year-over-year. So the average is going up. The new client spend is below that. It's probably about half of that, roughly. And that has been going up as well. So you're seeing a very consistent movement both in new clients, existing clients, and it's moving up pretty consistently.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: And would you say, with the existing clients, is the upsell typically adding roles? Or have you been finding, let's say, your CIOs are taking on more of the products that you offer them?
Christopher J. Lafond: A combination of both, right? We have -- sometimes, we'll see a CIO upgrade their own seats. Sometimes, we'll see them add seats. As you know, we have products that start with the CIO and work all the way through the entire IT organization. So as we continue to penetrate organizations, you can see that, those new products being sold across the entire organization, including to the CIO him- or herself.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: But you in rank 1 is having a bigger impact versus the other.
Christopher J. Lafond: No. They're pretty -- it's pretty balanced. And I think, when you look at our overall contract value growth and growth in existing clients, it's a combination of all of that. And I wouldn't say there's one that overrides the other. It's pretty well balanced.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: And then just lastly, on the goal of expanding margins over the multiyear period, any updated thoughts on that target? And I guess, of things that you can control, are there any investments outside of the sales force that we should be aware of that -- or levers that can allow you to either expand or contract with that, with meeting that goal?
Christopher J. Lafond: I think we have a pretty clear economic model that we have talked about over time. So if you look at our Research business, in -- on the Research side of the house, we expect a 70% incremental margin, and we're pretty well delivering on that. We're pretty close to that, as you saw in this quarter. And so there's no significantly different investment there that will drive that number differently. Could we certainly invest less in our Research business? Yes, and we could drive margin on that. We think that would be a bad long-term position, and not investing in enough research analysts and product enhancements for our clients. So I think you should expect that business to stay where it is. In our Events business, we know how to launch and run events. So we're pretty thoughtful about how we do that. And I don't think there's anything unique or different there going on in terms of significant new or different investments. And similarly, with Consulting, we've continued to invest in the managing partners. It's the reason you've seen the margin performance in that business, as we believe that's a good long-term strategy, continuing to add managing partners to allow the Consulting business to both sell and deliver, and reduce the reliance on our field sales force so they can focus more on our higher-margin Research business. So we'll continue to make that investment in the Consulting business. So I would say, on the gross margins side, those are the major things that you should think about. Below the line, we continue to believe that long-term sales force expansion at 15% to 20% is exactly the right level both because of our market opportunity and with our operational ability to hire that many people, which we can do effectively. And really from a margin and a leverage perspective, we expect that, as sales productivity improves, that's going to give us really nice operating leverage and continue to allow us to be in that 50 to 150 basis point margin expansion range that we've delivered pretty consistently for quite some time.
Operator: Next question is from the line of Jeff Silber of BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: Just wanted to follow up on the questions on the Consulting side. You mentioned the investments in managing partners. Is that the reason that utilization has dropped? And are you still adding billable headcount as well?
Christopher J. Lafond: So a couple of things. Billable headcount is actually up year-over-year. It's up about 3%. A chunk of that is the managing partners. So that is a portion of that hiring. Certainly, adding managing partners has a bit of an impact on utilization, without a doubt, as they are not as billable as consultants on the frontline. But we had -- as we mentioned on the call, that business has also been impacted a little bit by the federal government sector. We have a nice practice in that area, and so we're getting impacted there. So there's a number of things there that are impacting that utilization a bit, but absolutely, managing partners does contribute to that.
Jeffrey M. Silber - BMO Capital Markets U.S.: Speaking of, does the Consulting segment have a little bit more of public sector exposure than your other segments?
Christopher J. Lafond: Yes, yes. I wouldn't say hugely different globally. In the U.S., certainly a bit more; and globally, a bit more. So yes, it is a little bit more weighted there.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. And then you talked about the -- your opportunities in your Research business in terms of continuing to add sales force. I'm just wondering, is it getting more difficult to find salespeople? I know the economy is not that robust, but the hiring market seems to be improving.
Eugene A. Hall: Yes, it's Gene. So we don't have any trouble hiring salespeople. First, the -- Gartner is viewed among people that want to sell technology as being a great place to be. We're a great brand. They know that we have very strong offerings. And so the -- and if you -- there are various things, like Glassdoor, where we're rated -- like Glassdoor or LinkedIn, where we're rated one of the top employers. And so we don't have trouble attracting people at all. It's the first thing. Second thing is, if you look at the world of technology salespeople, the demand we have is really miniscule compared to all of the technology salespeople in any of the markets that we're in. So there's a very gigantic pool, of which we are a teeny portion. And on top of it, we're a very attractive place to be for sales. So we don't have any trouble at all both attracting great salespeople.
Operator: And next question is from the line of Gary Bisbee of Gartner (sic) [Barclays Capital].
Gary E. Bisbee - Barclays Capital, Research Division: I guess, to go back to the challenged area, I'm sorry to continue to beat on that, but why do you think these things popped out now? Is the U.S. Federal Government because you're into the new fiscal year and maybe you thought the purse strings would loosen up a little bit but now you know it hasn't? And in France, it feels like the data is getting a little better. So why aren't these issues that popped up earlier?
Eugene A. Hall: So it's Gene. So there are 2 separate issues. So in the federal government, they -- again, as I mentioned before, they have -- recently, this was not over the last 3 years, whatever, they have recently changed their procurement practices. And that's fundamentally what -- that, in combination with the sequestration, are what's fundamentally driving the issues with federal government. And so it's -- they've changed how they buy, so the number of framework agreements -- they have these things that you bond called framework agreements, the number you have to deal with, things like that. So it's just, operationally, the way you sell and the way they buy has changed and it takes a little while for people to adapt to that. Now this is -- frankly, it's -- they're doing the same thing on their side. The -- and just one other point too on the federal government is their yearend is in September, and so the -- there's a disproportionate number of contracts that come up for renewals and/or new sales that happened in September, as opposed to the rest of the year. So that would have an -- affected our Q3 as opposed to Qs 1, 2 and 4. So in the federal government, that's the kind of situation there. And as I mentioned earlier, we think we understand what's going on there. The people that actually use our services are dying to buy, there's tremendous demand. It's just making sure that we and they adapt to these changed procurement processes. Again, I'm very optimistic that we'll have great results with the federal government over the next few years. Then France is totally a different issue, which is just the -- as I mentioned, we're very good operationally, but we're not perfect. And so we had some operational issues in France where we didn't kind of follow what we know are the right kinds of processes. We've identified those problems. It won't take a week to fix, but I'm -- France has been a great growth for us. Again, even with these issues, France went from great double-digit growth to single-digit growth. So it's not like it went negative or something, it's -- but again, if you're growing great and you're slow, it has an impact on our -- it has an impact on our overall growth rate. We know what issues are in France. We're going to get France back up to double-digit growth, I don't have any concerns about that at all. So there's 2 separate issues between the federal government and from France.
Gary E. Bisbee - Barclays Capital, Research Division: Okay, great. And then the Events business has really had a terrific year. I know you're not talking about 2014 yet, but how -- can you just talk to us about how you will, from a strategy perspective, continue to expand this business? Is there anything you can say about how you'll gain new attendees to get us comfortable that these big events can actually grow on top of another great year here, and that there is more room in the calendar to add more events?
Eugene A. Hall: Yes, it's Gene. So our strategy in our Events business is to grow in 2 ways. One is by launching new events, and we launch new events every year. We launched some this year, we'll launch some next year. So for example, this year, we launched a symposium in Dubai. And that symposium in Dubai is in its first year. Then what happens is, after we launch these events, we'll have a Dubai symposium again next year. We expect that we'll have really robust growth in -- to use that as an example, in that Dubai event next year. We're very -- we're expecting high-double-digit -- very robust double-digit growth year-over-year in that event in both attendees and exhibitors. And so our -- that's -- really, the essence of our strategy is launch new events, and there are plenty of opportunities to launch events around the world. We're in 85 countries. We don't have events anywhere near that number, so we've got loads of places where we can launch new events, including places like the U.S. and Europe. And then secondly -- that, you might think, were more mature. And then secondly, we have plenty of growth at those events. And even if the events were kind of very tight space-wise, we have ideas of how to address those issues. So as an example, in our -- in Orlando where we hold our U.S. symposium ITxpo, the -- we've added -- we've built temporary space there and we're also working with the owners of the properties to figure out ways to expand the available space we have there. So we're not concerned at all about being able to grow, either by launching new events. There's, like, probably more than 100 events that we could launch that we know about today, and we have -- this year, we'll have 60...
Christopher J. Lafond: 63 to 65.
Eugene A. Hall: Yes, 63 to 65 events. So there's, like, loads of growth there. And then within each of those, there's plenty of room for growth as well.
Gary E. Bisbee - Barclays Capital, Research Division: Okay. And then just lastly, how far would you consider broadening what you do or broadening the scope of areas you research, to entertain attractive M&A opportunities? Or you've obviously been very selective, and I think that's terrific, but are there any new areas you'd look at? Or would you consider broadening the platform at all?
Eugene A. Hall: So we're very interested in acquisitions. We have a person who focuses full time on looking at potential deals. We're tracking -- there's -- at any given point in time, there's something, like, 100 companies that we track that we are interested in buying. And so -- but of course, the buy has to be right pricing and the right other kinds of terms. And those things happen from time to time. And when they do, we move quickly.
Operator: That concludes the Q&A session. I would now like to hand back to Brian for any closing comments. Thank you.
Brian Shipman: Thank you, everyone, for participating this morning. And we will speak to you on our Q4 Conference Call in February.
Operator: Thank you very much, ladies and gentlemen. That now concludes your conference call for today. You may now disconnect.